Executives: Sonal P. Robinson - Director of Corporate Finance, Vice President of Investor Relations and Assistant Secretary Richard K. Smucker - Chief Executive officer and Director Vincent C. Byrd - President, Chief Operating Officer and Director Mark R. Belgya - Chief Financial officer and Senior Vice President Paul Smucker Wagstaff - Director and President of U.S. Retail Consumer Foods Mark T. Smucker - President Of US Retail Coffee and Director Steven T. Oakland - President Of International, Foodservice And Natural Foods
Analysts: Kenneth Goldman - JP Morgan Chase & Co, Research Division Eric R. Katzman - Deutsche Bank AG, Research Division Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division Jason English - Goldman Sachs Group Inc., Research Division David Driscoll - Citigroup Inc, Research Division Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division Farha Aslam - Stephens Inc., Research Division Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division Mike Otway - Jefferies & Company, Inc., Research Division Ann H. Gurkin - Davenport & Company, LLC, Research Division John J. Baumgartner - Wells Fargo Securities, LLC, Research Division Edward Aaron - RBC Capital Markets, LLC, Research Division Andrew Lazar - Barclays Capital, Research Division
Operator: Good morning, and welcome to The J.M. Smucker Company's Second Quarter 2013 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded. [Operator Instructions] I will now turn the conference over to Sonal Robinson, Vice President of Investor Relations. Please go ahead, Ms. Robinson.
Sonal P. Robinson: Good morning, everyone, and welcome to our second quarter earnings conference call. Thank you for joining us today. On the call with me are Richard Smucker, Chief Executive Officer; Vince Byrd, President and Chief Operating Officer; Mark Belgya, Chief Financial Officer; Steve Oakland, President, International, Foodservice and Natural Foods; Mark Smucker, President, U.S. Retail Coffee; and Paul Smucker Wagstaff, President, U.S. Retail Consumer Foods. Following this introduction, I will turn the call over to Richard for opening remarks. Vince will then provide an update on our business segments, and Mark will close with additional comments on our financial results for the quarter and our outlook for the full year. During the call today, we may make forward-looking statements that reflect the company's current expectations about future plans and performance. These forward-looking statements rely on a number of assumptions and estimates, and actual results may differ materially due to risk and uncertainties. I encourage you to read the full disclosure statement in the press release concerning forward-looking statements. Let me also remind you that the company uses non-GAAP results for the purpose of evaluating performance internally. Additional discussion on non-GAAP information is detailed in our press release located on our website at smuckers.com. A replay of this call will also be available on the website. If you have any follow-up questions or comments after today's call, please contact me or Mark Belgya. I will now turn the call over to Richard.
Richard K. Smucker: Thank you, Sonal. Good morning, everyone, and thank you for joining us. We are pleased to have delivered another solid quarter of sales and earnings growth. Let me summarize some of the key highlights. Net sales increased 8%, reaching a record level for the quarter, with an acquisition and new products being significant contributors to top line gains. Looking at a quick snapshot of our 3 segments. First, Coffee achieved 6% volume growth for the quarter, driven by the Folgers, Dunkin' Donuts and Café Bustelo brands. In addition, sales for our K-Cup business nearly doubled year-over-year while our other new product Coffee launches continued to gain good customer acceptance. Consumer Foods net sales were up slightly, but volume was down, impacted by the prior year buy-in of Jif peanut butter in anticipation of last year's price increases. Also affecting volume was the planned cake mix downsizing in the baking business. Finally, our International, Foodservice and Natural Food segments saw significant sales growth. In addition to the contribution from the foodservice coffee acquisition was a strong start to the holiday season in Canada and growth in our natural beverages. Non-GAAP earnings per share increased $0.16 or 12% to $1.45. As a reminder, prior year results included a $0.07 onetime loss on the Europe's Best divestiture. Lastly, cash from operations increased more than 50% year-over-year and exceeded $180 million for the quarter, providing funding to repurchase all 2 million shares available under the 10b5-1 plan that we announced in August. Overall, we are pleased with our second quarter results and especially the momentum that we have built during the first half of the year. As we look ahead, we are in the midst of our Fall Bake and Holiday period. The combination of the solid merchandising and consumer marketing programs that we have in place and pricing insights gained from last year's holiday season provide us with cautious optimism that consumer takeaway will be stronger than that experienced by the industry and by our company during this timeframe last year. Our encouragement comes from the progress that we have made on our key initiatives. In particular, our accomplishments in the area of brand building through product innovation and increased marketing investments, along with the ongoing price leadership, both have positioned us well for this key promotional period. Vince will expand on these areas and our initiatives in a moment. In addition, while consumers remain cautious, recent economic indicators and industry trends point towards modest improvement in the consumer environment. Although these changes continue to occur at a gradual pace, we anticipate industry volume trends will improve over time. Finally, let me comment on the impact of Hurricane Sandy. While it had a disruptive effect on many people and retailers in the east, our overall results have not been materially impacted. We have worked closely with our customers to ensure that we are meeting their needs and those of our end consumers. In support of relief efforts, we have provided monetary assistance through the American Red Cross and product donations to the impacted areas through Feeding America. Internally, our facilities in that portion of the country sustained no significant damage and were up and running quickly after the storm passed. While we recognize the aftermath of the storm continues to affect many people in that region, we would like to thank our employees for their efforts in addressing these challenges. In summary, we are pleased with our performance for the first half of the fiscal year as they have exceeded our earnings and cash flow goals for the first 6 months. With a commitment to our long-term strategy, the strength of our leading brands and our employees' ability to implement, our business is well positioned as we proceed through the remainder of the fiscal 2013 year. As a result, we are confident in increasing our full earnings guidance for the year as Mark will expand on in just a moment. I will now turn the call over to Vince for an update on our business segments.
Vincent C. Byrd: Thank you, Richard. Good morning, everyone. Let me begin by reinforcing that the company's performance through the first half of the year reflects the ongoing commitment to our key areas of focus, which include building our brands through increased marketing support and innovation, executing pricing leadership, continuing to optimize our supply chain, capitalizing on our recent acquisitions and focusing on sustainability. To the point on pricing, our teams are continuing to utilize the learnings from our marketing mix analysis performed in partnership with SymphonyIRI to target the most effective and efficient spend across our businesses. We believe this ongoing analytical approach to our marketing and trade spend has elevated our capabilities, allowing us to achieve better returns on our spend. With that, let me provide further commentary on the performance of our 3 business segments. I'll start with the U.S. Retail Coffee segment where strong performance across the portfolio led to a 6% increase in volume for the quarter. This includes another solid quarter for our roasting ground products. As we indicated on the last call, our ability to achieve key price points has contributed significantly to the recent performance of our core Folgers Red Can business. Last month, we issued an 8-K regarding supplier-driven constraints for our retail coffee canisters. This did have a slight impact on our volume performance in the quarter. While our team continues to do a tremendous job actively managing this situation, our customer service levels were below our internal and our customers' expectations as a result of the issue. We expect this constraint to be fully behind us by the end of the third quarter, allowing us to return to acceptable inventory levels by the end of the fiscal year. As we proceed to the holiday period, we have good promotional plans in place for Coffee, albeit fewer than originally anticipated, as we strategically manage demand with our expected product availability. As a result of this constraint, we anticipate a modest impact on volume for the third quarter, but year-over-year Coffee volume is expected to grow slightly for the quarter. The Dunkin' Donuts brand had a strong quarter with 11% volume growth, following an 11% increase in the first quarter. Our emphasis on managing price gaps with competition was a key contributor to this growth. Also in the premium segment, our relaunch of Folgers Gourmet Selection is proceeding well with good customer acceptance. The Rowland Coffee brand once again delivered strong volume gains behind double-digit growth for the Café Bustelo brand in the quarter. We anticipate continued strong performance for these brands and are just beginning to capitalize on growth opportunities of the business. Finally, let me turn to our K-Cup business, which had another strong performance in the quarter. Distribution gains and the success of new varieties both contributed to delivering an incremental $36 million in sales growth over last year's second quarter. Although we believe the impact of the new unlicensed participants into the K-Cup segment will be modest this year, we expect their entry will slow our percentage growth rate somewhat in the back half of the fiscal year. Yet, reflecting the strong second quarter contribution, we are increasing our K-Cup sales growth projections for the full year to approximately 70% over fiscal '12, reaching close to $300 million in annual sales. Underlining the performance of all of our Coffee brands is continued support of marketing investments, including new TV advertisements. Our marketing expense is up over 20% for the first half of the year, including support behind our product innovation efforts with a significant increase in the second quarter. At the same time, Coffee profit -- segment profit grew 13% in the quarter. Finally, in regard to green coffee, as anticipated, during the second quarter, we began to recognize lower coffee costs in our results, which is expected to continue through the remainder of the fiscal year. Keep in mind, we took an early price decrease at the beginning of the fiscal year to reflect this expectation. Additionally, we're investing back into brands to support our key initiatives. Turning now to Consumer Foods. During the quarter, we completed the back-to-school period, a key season for PB&J. While peanut butter volume declined in the second quarter, this was expected due to the strong prior year comp that reflected consumer volume in advance of the 30% price increase taken last November. Through the first 6 months of 2013, volume for the Jif brand was in line with the prior year. And in light of the higher pricing, we are pleased with this performance. As has widely been reported, the current U.S. peanut crop is the largest in history, which will ultimately lead to lower cost. Yet, as we highlighted last quarter, the lower spot prices are not necessarily indicative of the costs we are incurring, given the long-term contracts we have in place. In fact, as the largest procurer of peanuts in the U.S., we did take a longer-term position to ensure adequate supply, encouraging farmers to plant peanuts as opposed to other crops. For competitive reasons, we do not disclose our coverage position or specific pricing plans. Smucker's Uncrustables achieved another strong quarter with volume up 11% behind new product introductions and distribution gains. However, our fruit spread business fell short of our expectations in the quarter, impacted by higher pricing during the key promotional periods, as well as competitive activities. We are implementing a number of short- and longer-term tactics to improve our performance, including price reductions on selected items. Let me now turn to the bake aisle and the start of the Fall Bake period. Our Crisco oil business was down in the quarter and will continue to be challenged as we were not awarded the bake center merchandising at a key retailer that would have compressed margins below acceptable levels. However, we are optimistic about the performance of our Crisco brand at the majority of our other retailers where we have actively pursued opportunities to offset some of this bake center impact and expect to exceed last year's third quarter volume. Although Pillsbury brand volume was down compared to last year's second quarter, this was anticipated due to the effect of the cake mix downsizing. Excluding this impact, Pillsbury volume was up slightly for the first half of the year. Product innovation, including our seasonal offerings, will continue to be a key driver of our performance in this category, and we are pleased with our position as we proceed through Fall Bake. Within our canned milk business, our focus on optimizing pricing strategies led to solid volume gains during the quarter as our recent price decline helped lower price gaps with key competitors. Lastly, within Consumer Foods, let me update our views relative to the Midwest drought from this past summer. We do not anticipate a material impact on the company for the remainder of the fiscal year. We have good visibility into our cost structure for the affected commodities, those primarily being corn, wheat and soybean oil, through the end of the fiscal 2013, and we do not foresee the need to take pricing in the related categories for the rest of the fiscal year. Let me now turn to International, Foodservice and Natural Foods segment. Much of the sales and segment profit growth in the quarter was attributed to the foodservice beverage acquisition, led by the ongoing strong performance of the liquid coffee offerings. During the quarter, we communicated our intent to exit the remaining private label roasting ground business that was assumed in the acquisition. While the impact for fiscal 2013 will be minimal, we anticipate a reduction of $75 million to $100 million in annual net sales on a going-forward basis. The transition will be completed in stages through the end of next year's second fiscal quarter, resulting in improved profit margins for the business. Overall, the Foodservice acquisition has delivered better-than-planned segment profit for the first 6 months of 2013, and we look forward to capitalizing on the growth potential of the branded portfolio as we move ahead. Other businesses that comprise the International Foodservice and Natural Foods segment also performed well in the quarter. Excluding acquisition and divestiture activity, volume grew 4% for the segment. Growth was driven by strong performance in Fall Bake in Canada across its core categories, including coffee, fruit spreads and flour. Our K-Cup's launch in Canada is contributing significantly to the growth of coffee. In summary, as we look to the second half of the fiscal year, we are encouraged by the performance of our businesses and are confident in delivering another year of growth. This is based on a number of factors, including: the continued strong contribution from product innovation, including the success of K-Cups and seasonal coffee and baking offerings; the benefits being realized from our focus on optimizing everyday and promotional price points; the consumer marketing and quality merchandising programs in place across our brands in support of the key Fall Bake and Holiday periods; and finally, our expectations that the overall volume trends will continue to improve gradually across the industry. I would now like to turn the call over to Mark to discuss our consolidated results.
Mark R. Belgya: Thank you, Vince. Net sales increased $115 million or 8% in the second quarter, reflecting over $90 million in incremental sales related to the foodservice beverage acquisition. Mix continued to positively benefit sales growth while helping to offset the impact of lower volume, of which some was planned. The effects of higher peanut butter and lower coffee prices yielded a slight decline in net pricing. GAAP earnings per share were $1.36 this quarter and $1.12 in the second quarter of last year. Special project cost, as defined in our press release and reflected in GAAP earnings, once again declined on a year-over-year basis as the underlying activities continue to wind down. On a full year basis, we now expect these costs to approximate $0.40 per share, a decrease from our original guidance of $0.50. The change primarily reflect the shift in timing of certain cash-related charges associated with our restructuring activities and a reduction in expected special pension cost. Excluding special project costs, earnings per share were $1.45 this quarter and $1.29 in last year's second quarter, an increase of 12%. Excluding the prior year loss on sale that Richard noted earlier, non-GAAP EPS was up 7%. Operating income, excluding special project cost, increased $20 million or 8% for the quarter, reflecting a $33 million increase in gross profit. Both years were impacted by a nearly equal $10 million in losses from unrealized mark-to-market adjustment on derivative contracts. The increase in gross profit was driven by the acquired foodservice business, along with favorable mix. Overall commodity costs were lower in the current quarter compared to the prior year as declines in green coffee were only partially offset by higher cost for peanuts. On a full year basis, we expect the net impact of commodity cost changes within our basket of goods will continue to be favorable, driven by green coffee cost. The growth in gross profit for the second quarter was partially offset by a 9% increase in SD&A expenses. This reflects an 11% increase in marketing, expenses associated with the Sara Lee business, along with higher general and administrative expenses, primarily driven by increased incentive compensation and pension cost. The effective income tax rate was 33.6% in the second quarter, bringing the rate for the first 6 months to 33.7%, which is in line with the prior year. We now anticipate the full year effective tax rate to be at the high end of our original range or approximately 34.5%. This will force out a rate of nearly 35.5% for the back half of the year. The expected increase, which will mostly impact the third quarter, is driven primarily by a recent state tax legislative change in California. Let me now provide a brief update on our supply chain projects. This quarter, we essentially completed our coffee restructuring initiative, including the expansion of our 2 facilities in New Orleans. This was a complex, multiyear, cross-functional project, and we would like to thank the team for their tremendous efforts. We were pleased the project was completed on time, on budget and is delivering expected savings. In addition, our new $150 million food manufacturing facility in Orrville continues to ramp up production as planned with approximately 25% of our fruit spread volume already being produced at the new plant. The full transition remains on schedule for next summer. Turning to cash flow. Cash provided by operations was $183 million in the second quarter compared to $118 million last year, reflecting a net decrease in working capital among other factors. Capital expenditures were $52 million in the quarter, bringing the total to nearly $100 million for the first half of the year. We now expect a full year spend of approximately $225 million. With these results and our anticipated earnings guidance, we are now projecting free cash flow will exceed $650 million for the full year. During the quarter, we borrowed $20 million against our revolving credit facility to partially fund the $171 million utilized for the share repurchase program. All borrowings were repaid by the end of the quarter, and we do not anticipate the need to draw additional funds for normal operating requirements for the balance of the fiscal year. Let me conclude by updating our full year net sales and EPS outlook for 2013. We continue to anticipate an increase in net sales of approximately 7% with much of the growth coming from the 8 incremental months of the foodservice acquisition. Reflecting the lower expectation for our oils business and the modest impact of the coffee canister supply constraint, we now project volume in the back half of fiscal 2013 will be up slightly compared to the prior year. Considering these factors, our first half earnings results and the impact of our share repurchase earlier this year, we now expect non-GAAP income per diluted share in the range of $5.12 to $5.22 for 2013. This range is based on approximately 109.2 million weighted average shares outstanding for the purpose of calculating annual EPS. Our current shares outstanding are approximately 108.5 million. In closing, let me reiterate that we are pleased with our performance through the first half of 2013 and look forward to continuing this momentum throughout the rest of the fiscal year. With that, we will open up the call to your questions. Operator, could you please queue up the first question.
Operator: [Operator Instructions] Our first question will come from Ken Goldman of JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: I'm hearing some things you're saying about pricing that are interesting. You mentioned having to take down pricing in fruit spreads because of competitive activity. You've moved some spending from, it sounds like, advertising to promotional spending this quarter across Consumer Foods, and you took down your coffee prices, it sounds like, by a greater degree than your underlying cost went down. And that's unusual versus your history, if I'm hearing it right. So you've highlighted U.S. Consumer spending getting better, but it almost seems like the actions you're taking on price suggests a reaction to the opposite. So I'm just curious if you can reconcile this a bit for us and help us understand why we shouldn't be a little bit concerned about the competitive environment maybe forcing you to be a little bit more careful on pricing right now than you otherwise would be.
Vincent C. Byrd: Ken, this is Vince. Let me start, then we're going to turn it over to Paul and Mark to give color from their respective business areas. But I think you may recall from the last 2 or 3 quarters, we talked a lot about sharpening our price points and it really does vary by category. And sort of by definition, we say that entails everything from closing some pricing gaps to reflecting the absolute reduction of some of our commodity costs that, specifically in coffee, have got us to some price points that we weren't before. It talk about truly leveraging better some of our promotional and trade spend to make those more effective and efficient. So I guess I would just say from a macro perspective, those are the things that we're looking at. We did lean forward into some price reductions at the beginning of the year on coffee. But it really does vary category by category. So with that, I'll turn it over to Paul and Mark.
Paul Smucker Wagstaff: Ken, Paul here. Just on 2 key categories. First, fruit spreads. We have seen some decline in fruit spread volume overall, which is a concern to us. There's really a few things that are driving that. The first is we did take 2 price increases last fiscal year. And we know that we have some pricing gaps on shelf, and we've crossed some deciles that are -- that we know are impacting our overall volume. So we did take the opportunity to take some pricing down in some of our key areas, like our better-for-you segments and on one key, large-sized or 32 ounce strawberry, which actually goes into effect this month. So we do recognize that we have some trends that are down, but we think we have some good pricing in place to correct that. Also on milk, we were able to take price decline on milk, and we did see some nice volume increase in the past quarter. So we feel good where we stand with those 2 opportunities at this point, fruit spreads clearly being the one that's the more concerning to us, but we feel we have some good plans in place to start turning that business around.
Mark T. Smucker: Ken, this is Mark Smucker. Just quickly, I think Vince said very well on Coffee, we did take a decline in the first quarter ahead of costs moderating. But the point there was to really position ourselves well for the key fall period, which we've done, and to make sure that the absolute price, as well as the gaps within the segment were right to help drive volume. And so we have increased spending on advertising. We're focusing a lot of dollars on TV equity. And as was in the script also, the promotions that we have done have been very targeted, very effective.
Operator: Our next question will come from Eric Katzman of Deutsche Bank.
Eric R. Katzman - Deutsche Bank AG, Research Division: I guess a couple of questions. First, Mark, the $5.12 to $5.22, can you just remind me, does that assume some kind of mark-to-market hedge, either gain or loss, over the year?
Mark R. Belgya: No. That -- we obviously have had somewhat significant gains and losses unrealized over the last couple of quarters. But that would factor in over the course of the rest of the year to reflect the actual cost of the commodity received.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then I guess switching to the coffee supply constraint issue, the -- I guess there were some rumors in the market, and you came out with a press release saying that, that was not going to be, I guess, material. But it sounds like it's -- I mean, the good news is you have the demand, but the bad news is that you're having some supply constraint. So -- and you're calling out that it could actually impact volume for the total company. So I guess, what gives us confidence that the supply constraint is going to be resolved? And is competition trying to take advantage of the situation? Maybe you just can go into a little more detail.
Mark T. Smucker: Sure, Eric. This is Mark Smucker. Let me just start by clarifying that the canister supply constraint was -- is not a quality or shortage of resin. It's just related to operational issues at the supplier, and we are working on a daily basis with them. We have great visibility both backward into the supply chain, as well as forward into our customers, and we're confident that the actions we've put in place are resolving the issue. We actually have some new capacity that has come online in the last couple weeks, which is helping, and we have seen sustainable operational improvements from that supplier. So although it has -- it impacted volume and -- slightly, we do believe that we are managing it very effectively. And from a competitive standpoint, we're not seeing any activity that would lead us to believe that it's any different from what we've already put in place from a promotional standpoint.
Eric R. Katzman - Deutsche Bank AG, Research Division: All right. And then last thing, I guess to either maybe Vince or Richard. Just I guess industry-wise, you're -- to a certain extent, you're in a position where your -- some of your costs are either going down over time or have moderated so you don't feel the need to put through pricing. And maybe because of that, your categories look a little healthier than they did. But to the extent that you're making comments about the industry, isn't it fair to say that those companies that have a weighting towards the grain complex, corn, et cetera, that they are seeing inflation that they're going to have to put through pricing in this dynamic of higher pricing, and then weaker volume and demand elasticity is a challenge that kind of continues into calendar '13? Just how do you react to that?
Richard K. Smucker: Yes. Eric, this is Richard. Quickly, I don't know what the position is for other companies and our competitors. But our position on the commodities, we're in good shape. And when we went into the summer months and the drought, we all read about the drought and saw the drought and saw the impact on the margins, on the prices of the commodities, we were pretty well covered. And so I'm not sure what our competitors are doing, but we feel very confident that our positions are good for the remainder of the fiscal year and that our margins are going to be solid for the remainder of the fiscal year. So the impact on us was relatively minor. And again, I think we're in pretty good position. Going back just a second on the Coffee. The supply issue was -- had a -- not a significant impact on our second quarter and we're -- our teams did a wonderful job of getting us out of it. And certainly, by the end of this quarter, the third quarter, we don't see any more disruption by the supplier. So we should be in good shape without any major impact.
Operator: Our next question comes from Jon Feeney of Janney.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: I wanted to think about the -- both the likely effect of what pricing is doing right now in the Jif business. And if the interplay -- maybe give us some color on the interplay, the gyrations of the peanut butter business have had on your spreads business and how that's likely to play out over the next 12 months. Does the normalization of declining costs, a little bit more promotion, perhaps some accelerating volume in response to that smooth out the spreads business as well as the peanut butter business?
Richard K. Smucker: Jon, just going back to, first, Jif and the peanut butter business. Obviously, the crop, as we know, as Vince mentioned in his comments, is a record crop. We know we're going to get very good quality peanuts for all of our needs. And as we also mentioned, we've taken a longer-term position on our peanuts, so we're not going to see some immediate effect of the peanut -- the cheaper peanuts. That being said, we do know that at some point, we will need to take a price decline of some sort, and we would anticipate that being beneficial to the overall category. And I'm saying the overall spreads category, we'd anticipate people coming back into the category a little bit more. The timing on that is not definite at this point. But we feel good overall with our Jif business the first 6 months, and we'd expect that to be pretty good. Did I answer your question? I can't -- was there another part of your...
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: The interaction with spreads.
Richard K. Smucker: Yes, with the interaction with the spreads category. Again, I think on the JJP, our fruit spreads part of the business, the pricing is one of the key elements that has made that business a little struggling right now, along with we had some competitive activity that -- with some new products that were launched that we were fighting. But I think with the peanut pricing, overall, abating in the next back half of the year, we should see that have a positive impact on our overall spreads business.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: And if I could just follow up on the Jif piece. I guess, presumably, others in the industry may not be as contracted as you are. And I guess have you seen in the marketplace the impact of that -- others taking price declines? And do you -- in those cases -- I mean, does that accelerate the category and maybe not hurt you as much? Because -- or I mean -- are others in the industry hedged the way you are, do you get the sense? Or from -- just from what you've seen in the marketplace. I know you have no idea how they're hedged.
Richard K. Smucker: Right, right, we don't. But I think the answer is we have seen some small price declines right now that we've heard that are going to be taking place or have taken place. We wouldn't anticipate seeing a major impact to the overall spreads category, definitely not through this calendar year. But in the back half of our fiscal year, we would anticipate seeing that pick up.
Operator: Jason English of Goldman Sachs has our next question.
Jason English - Goldman Sachs Group Inc., Research Division: Question on marketing spend. I think you were coming into this year guiding to 20% constant currency increase in overall for marketing. It sounds like you're tracking above that in Coffee. But at the aggregate firm level, I think 1/2 -- first half, you're at 9%. Is this because you're dialing back marketing spend, or is this a timing issue with it being more back-half loaded?
Richard K. Smucker: It's primarily the timing issue, Jason. We expect -- particularly the fourth quarter, we had a pretty soft marketing spend last year's fourth quarter and, obviously, ramped up significantly. So you'll see an increase above where we've been running. I don't -- we're not going to be at the 20%. But one thing is -- I think is a key takeaway that we're quite comfortable with the level, particularly the TV advertising that we have on air especially right now. So the fact that we're not at the 20% that we spoke to in June, I wouldn't get overly worried about that. And then the only other comment on the marketing, just to kind of put things in perspective, marketing was up 11%, and we did talk of -- a little bit about some of the marketing spend was redirected to trade spend, but that was only a couple million dollars. So it really does not have a significant effect on the marketing -- overall marketing spend.
Jason English - Goldman Sachs Group Inc., Research Division: Okay. And this private label liquid coffee business that you're exiting, part of what you acquired, I think you quantified the sales impact. Is there a bottom line impact with that exit as well?
Steven T. Oakland: Jason, Steve Oakland. First of all, just to be clear, the Coffee business that we're exiting is a private label roast and ground business. The liquid coffee business -- the liquid coffee concentrate business, I know it's confusing which one of those is which, is all branded. That will not have a bottom line impact. The exit of the roast and ground business was basically a business where they traded dollars, so. It will improve margins though, because you take the top line. To be clear, it will improve the segment's margins, so it will not affect the penny profit.
Operator: We'll go next to David Driscoll of Citi.
David Driscoll - Citigroup Inc, Research Division: Two questions, first one is just on earnings growth. Mark, maybe this is probably appropriate for you. But earnings growth is expected to be quite a bit faster in the second half of the year. By my math, I think the first half grew around 5.5%, and the second half will have to grow around 8% to 12% to reach your guidance. So at the top end of the second half there, it's basically twice the rate of growth that we saw in the first half. Is this – I'd really just like to hear your thoughts on what drives the fairly significant change in the rate of growth. And I certainly remember and recognize the weak comp in the third quarter last year, I mean, is that the entire reason or maybe you could just expound on that?
Mark R. Belgya: Sure. We got you. This is Mark. A couple things, and you're correct. In terms of just rate of growth, the second half is clearly faster than the first, and this was actually expected. I think when we talked in June, we said we expected to see margins grow throughout the year. Clearly, the lower costs that we're seeing come through now on green coffee, it's continuing to have a benefit to us. We've recognized favorable mix as well, and we spoke that we're actually taking our projection up, for example, on our K-Cup, up to 70% growth year-over-year. So that, too, will have a positive effect on the back half. So those 2 things are primarily the key drivers. As we mentioned, we expect volume to be up modestly, so that'll contribute a little bit as well.
David Driscoll - Citigroup Inc, Research Division: So that leads maybe really nicely into my second question. You mentioned right there that the declining green coffee prices would be a benefit. But in today's release, it reads a little differently, and maybe you can reconcile the comments. And my basic question here was, how do you get 13% profit growth in coffee if you have price declines that more than offset the decline in green coffee? And can you maintain the algorithm? I think you basically just said you could. But can you discuss that a little bit?
Mark T. Smucker: It -- yes. It really did -- it really does come back to the mix. I mean, our coffee and, again, K-Cup and the growth that we're seeing, we talked about a little bit slowing down on some of our baking items, but just the coffee mix being such a larger percentage of the overall is going to -- is really what's driving that.
Operator: Alexia Howard of Sanford Bernstein has our next question.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: Can I ask about uses of cash? I think you made some comments about where we are in the buyback at the end of the prepared remarks. But weighing up buybacks versus more tuck-in acquisitions or other potential uses of cash, how are you prioritizing things from here on?
Mark R. Belgya: Sure. This is Mark Belgya. I'll speak to that, then maybe I'll just pitch it back to Richard for a couple of comments on the M&A environment. We've been pretty consistent, quite honestly, for those of you who have followed us, that we do feel very strongly about our cash deployment being between both growth of the company and return to the shareholder. And acquisitions are obviously very key to our strategy, so that's always going to sit at the top. But having said that, we do intend to direct about half of our cash from operations to acquisitions and CapEx and the other half to dividend and repurchase. Clearly, there's a lot of uncertainty in today's market around the fiscal cliff. So we'll continue to evaluate where we head in terms of that mix between buyback and dividend. But we're going to continue to focus on doing that – doing both of those over time. So let me just throw it back to Richard just for a couple of brief comments on sort of the M&A environment.
Richard K. Smucker: Yes. A couple things on the M&A environment. Obviously, we still think there are some great opportunities for Smucker's out there. Timing is the key, and we're not exactly sure when those opportunities will hit. But we do have our list of key brands that we think fit, and we're always pretty aggressive in pursuing those. I think the environment is good because companies are looking for what to keep in their portfolio and what not to keep in their portfolio. So we think there'll be maybe a couple things that shake loose in the next 12 to 18 months. So I think the environment is pretty solid, and we hope to be able to do something in the next 12 to 18 months.
Operator: We'll go next to Farha Aslam of Stephens.
Farha Aslam - Stephens Inc., Research Division: During the quarter, there was a peanut butter recall by a competitor. I was wondering if that impacted or benefited Jif, and if that impacted or benefited the fruit spreads and Uncrustables business?
Steven T. Oakland: Farha, Steve Oakland. Let me give a little detail on that. That recall was by an organization that does primarily co-packing of private label brands, that makes ingredient peanut butter and makes peanut butter for the USDA school foodservice program. And so it's interesting some of those small companies, as we've seen in these recalls in the past, reach of a lot of large companies from an ingredient supply standpoint. The only place that it impacted Smucker was they are one of the USDA's commodity suppliers for the school lunch program. As you may be aware, I think many of you know, we have a unique opportunity in school lunch. We provide, literally, millions of branded center-of-the-plate peanut butter and jelly sandwiches every week to the school foodservice program. The downside to that is it's not always our peanut butter, about 1/3 of that is our peanut butter and 2/3 of that comes from other peanut sources. We did receive peanut butter from the affected corporation. We test that product on the way in, and we test that product on the way out. We're comfortable all of that product was fine. But out of an abundance of caution, we did recall a small number of institutional -- no retail, institutional school foodservice peanut butter and jelly sandwiches. So every time that happens, we really take a look at the role of that program. We think although it's strategically important, where should that capacity go. So we'll continue to evaluate our participation in that and whether we'll accept peanut butter from those people. But that's well behind us and does not appear, frankly, to have affected us in retail or have affected us in Foodservice.
Paul Smucker Wagstaff: No. Farha, this is Paul. That did not affect us in either Jif or retail Uncrustables.
Farha Aslam - Stephens Inc., Research Division: Okay, great. And then just one follow-up. Your kind of Canadian and, what do you call, International, Foodservice and Natural Foods outperformed my expectations. Is it the Sara Lee acquisition that's doing better than you had anticipated? Or is it the Canadian Thanksgiving that really helped those numbers?
Richard K. Smucker: Farha, I think, fortunately, it's both. Our Canadian business was on a great role from a market share and an executional standpoint, and their core categories are performing well. As you know, their Thanksgiving comes a little earlier than ours, so we get a good look at it early. And then the Sara Lee liquid coffee business is -- although we're working through this private label roast and ground thing, the core liquid coffee businesses is nicely ahead of last year.
Operator: We'll go next to Akshay Jagdale of KeyBanc.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: So my first question, really, is on volumes. So I think if I remember correctly, you mentioned roughly flattish volume expectation for the back half. One, is that correct? And two, why shouldn't it be much higher, given that last year you had a, on average, I think, 8.5% decrease in volumes, which primarily resulted in your lower than expected EPS results last year? So help me understand, one, what your guidance on volume is? Why it's that way in light of all the positive commentary you're making on consumer spending and some of the price gaps that you seem to have corrected?
Vincent C. Byrd: Akshay, this is Vince, and I'll start and will turn it to the business leads. But first of all, I think we are probably being cautiously optimistic based upon some of the economic trends. We do anticipate volume to be up in the back half of the year. But when -- again, when you take a look at our pricing, we're still at pretty high levels vis-à-vis even 2 years ago, whether that be on coffee or peanut butter, of course, in particular. So those are the 2 -- I guess those would be the primary factors. And as Mark indicated, our Coffee volume will be still affected somewhat in the third quarter because of the canister issue, although we do anticipate, hopefully, being up during the quarter. So I think it's just being a little bit cautiously optimistic about -- as we go into the back half. And I'll ask the business units if they have anything to add on that.
Paul Smucker Wagstaff: Akshay, this is Paul. Yes, just from a Consumer Foods perspective, we also have the cake downsize, which, overall, affects our volume. Although we feel pretty good about that -- the baking business, we're going to be affected volume there. And we had some planned rationalization of some flour business that's decent volume, but has no material impact to the segment profit.
Richard K. Smucker: Akshay, this is Richard. I'm just so glad you asked that question, because, as you know, I have this issue about overall volume for the company. You have to look at volume by individual category that we're in. Because when you add it all up to one total number, it's like adding apples and oranges. Because, as you know, a pound of K-Cups is worth a lot more than a pound of cooking oil. So we try to look category by category, and -- but I appreciate you asking that question, just so I can make that comment.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: That's helpful. And second question on K-Cups. I mean, first of all, congratulations. I mean it seems like it's going much better than even you had planned and the numbers that you're guiding to are really impressive. But just I do follow that category closely and the concern there is that competition is heating up and it's going to impact pricing and margins, quite frankly. So you mentioned that you're not seeing it to that level. I mean, you're not seeing "any price war." It looks like you're very optimistic about the back half. I think if I do the math, it still assumes roughly 50% year-over-year growth on some pretty impressive growth numbers in the back half. So can you -- I mean, more than just reiterating what you said, I would like you to give me some color on why you believe your guidance is achievable and how you come to that conclusion. I mean, is it talking to retailers? I mean, why wouldn't private label and some other brands have a more meaningful impact on not only your business, but the overall category's profit pool?
Richard K. Smucker: This is Richard. Let me just start by -- and Ken Goldman asked this question initially about pricing and where our pricing is and how important that is. Price is extremely important to us, extremely important to our customers and to our consumers, and we have to make sure that our pricing is right, that we know that we're the leading brand, that we're transparent with our customers. But we also know that we can't be too high above our key customers or too high above private label. As you recall, by a year or so ago, we got a little bit out of the line in our pricing. And so we've looked very, very hard at our pricing to make sure that we have those right deciles and have the right spreads. And I think we've done a much better job, and it's showing up on our top and bottom line this year. And so we feel much more comfortable going into the back half of the year. In addition to that, I think our commodity teams have done a wonderful job in positioning the company well in terms of where we stand in all of our purchasing of our key raw materials. So I think we can afford to make sure that we've got the right pricing points for the remainder of the year, and we want to keep that momentum going.
Mark T. Smucker: Akshay, this is Mark Smucker. To answer your question a little more specifically, and start by saying a couple of things. K-Cup still brings new users into the category. And sure, eventually K-Cup is settling into -- it's still in the process of settling into its fair share of the category, but it is still bringing new users into the category. The second thing is, again, we participate in all of our categories, essentially most of them have private label, and we're comfortable competing in that environment. As it relates to private label and some of the new unlicensed competitors, I would say that the pipeline fill has been slow, and we haven't seen as much broad gains in distribution that maybe would have been anticipated. Having said that, there is some tiering in the category. But we feel confident that being partnered with Green Mountain, we will be able to maintain relative cost and quality advantages that the consumer has shown a willingness to pay for that and then pay for the convenience of the K-Cup in general.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: That's helpful. And one last question on acquisitions. Can you just update us on the accretion, just longer term for Rowland and Sara Lee? I know you pushed back Sara Lee's $0.10 accretion beyond this year. But can you just update us? I mean, are those both fiscal '14 phenomena? And you were obviously going through some transition on the cost side for Rowland and it looks like the top line is going as you planned. But can you just help us with the accretion for those 2 acquisitions specifically?
Mark R. Belgya: Sure. Akshay, this is Mark Belgya. Big picture, we're still comfortable with, I think if I recall correctly, both Rowland and the Sara Lee acquisition. We put $0.10 out for each of those from an EPS perspective. I think as Steve mentioned, the segment profit on the Sara Lee business is a little bit ahead of plan. So we are seeing that flow through a little bit more this year. But I'd say right now, I would hold to those numbers. We'll obviously comment on that as we get a little farther into this year and, certainly, as we look out into '14.
Operator: We'll go next to Scott Mushkin of Jefferies and Company.
Mike Otway - Jefferies & Company, Inc., Research Division: This is actually Mike Otway in for Scott. Just wanted to circle back on the commentary from the release and from earlier in the call regarding the consumer and what seems to be like some increased enthusiasm in your part, given kind of from what we see most of the food-at-home retailers don't appear to be experiencing that much change. So any thoughts on what's driving that would be great.
Richard K. Smucker: Well, this is Richard. We're cautiously optimistic. We look at -- first of all, we look at our categories. And if you think about our categories, we're pretty fundamental categories in terms of the basics that consumers need and buy and put in their pantry, especially for the holiday period. So we feel good about the categories where we participate in. But that being said, it's a tough market out there, and there are consumers that are looking at their budget and want to stretch it as far as possible. So we're trying to make sure that we have the right promotions to address that group of consumers. And at the same time, as Mark said, there's a group of consumers out there that are willing to pay the extra for convenience, and we want to make sure that we have products in all of our categories that allow us to do that also. So I -- we're -- I want to emphasize that we're cautiously optimistic. But we -- the market hasn't turned around entirely, but it is -- from our categories, we're seeing a little light at the end of the tunnel.
Vincent C. Byrd: And I would -- this is Vince. I would add that if you look at a number of indicators from food and beverage across the industry that -- and even the results of some of the more major competitor, you're seeing some increase in volume or, at least, not to the declining levels that we have seen in the past. So if you sort of take a look at all of those, including some statistics by the commerce department on some -- on the retail and foodservice dollars spent, we're just seeing a slight uptick.
Mike Otway - Jefferies & Company, Inc., Research Division: I appreciate it. And then just as a quick follow-up here. Trying to understand the Coffee category a little better, maybe what you're seeing. Our observations at Retail suggest the category remains pretty competitive. You've got some competitors like Starbucks who are pricing their ground or K-Cups at or below Folgers in some of the markets we see. Are you seeing any competitive response from the actions that you guys have taken to realign some of the prices? And in terms of where you are with that realignment, are you kind of completely done with it across the coffee portfolio? Or are you kind of almost done there? Any color there would be great.
Mark T. Smucker: Sure. Let me start just on the K-Cup comment. I mentioned in my previous comment, there's some tiering, but we're not seeing that entirely on a national basis at this point. But on the category, as a whole, in particular roast and ground, on the last call, we talked about the smoothing of the hourglass, if you will, the migration of consumers back to the core center of the category. And we are seeing that. So our core Red Can business is doing very well. We have seen -- as the price points compressed in the category, we had seen consumers move back to the center. The premium segment is still doing very well and continues its growth. But again, I would return to our ability to get our pricing right, and we are able to compete very effectively. Despite the competitive environment, our categories, our brand is doing very well.
Mike Otway - Jefferies & Company, Inc., Research Division: And do you -- and from a -- where you are today versus where you need to be from a price realignment standpoint, how far along in that process are you? Completely done or...
Mark T. Smucker: Well, I think again -- I'm sorry, the last part? Well, again, we're transparent with our pricing. And as our cost indicator dictate, we would move pricing. Consistent with what we said last quarter, we don't see any action in that area through the key holiday period. But once we get past it, we will look at it and evaluate whether or not there needs to be any movement.
Operator: Ann Gurkin of Davenport has our next question.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: I wanted to return to the conversation about the contribution from the Sara Lee acquisition and it's running a little bit ahead of schedule. Can you comment on what's driving that slightly better performance for the Sara Lee coffee business?
Steven T. Oakland: Sure, Ann. Steve Oakland. I think, really, just momentum from the team. When that group of folks joined us, we reorganized our Foodservice group. We now have a direct organization selling coffee. There's a lot of energy around it here, although there's been a lot of change. And frankly, the volume is up a little bit. So we're very encouraged by all of those factors. So -- and we've been transparent with pricing and all the things you have to do in the Coffee business. So I would say it's really the effort of a North American team behind it.
Richard K. Smucker: Steve, you might comment about the integration work that was done in -- very quickly across our company.
Steven T. Oakland: Yes. We -- I know we talked about integration earlier on other calls. We were very concerned about this business coming in, given the -- all of the distraction of the changes of Sara Lee. So we really put a full-court press on it. We integrated it much faster than we integrate most acquisitions and had it in our order-to-cash process in all of our operations in sales and marketing processes earlier than normal for an acquisition of this size, and that appears to be paying dividends.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: Right. I didn't know if you were gaining new accounts or new business, anything like that?
Steven T. Oakland: We've had a couple of great ones. Obviously, our competitors came after us initially, and we've defended those. And we have had a couple of new customers join the liquid coffee business.
Ann H. Gurkin - Davenport & Company, LLC, Research Division: And then I'm intrigued by the comment about consumer spending on the upswing. And have you kind of run that thesis, that expectation through the second half now? I mean, are you expecting this momentum to continue? And kind of as we face potential fiscal cliff and a worried consumer, I'm just curious about that comment.
Mark R. Belgya: Ann, this is Mark Belgya. I guess just in terms of the guidance, I mean, the volume that we have talked about this morning and the numbers that we've included in our range of guidance, that reflects our best take. I mean, certainly, we're not – none of us are sure what's going to happen, and I guess that's where the cautious optimism is around is that if there are a -- an event or a series of events, then that changes the dynamics. But at least the way we see the world right now, that's all sort of been factored into our guidance thinking.
Operator: We'll go next to John Baumgartner of Wells Fargo.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: Again, just in terms of a little bit of positive outlook here for the consumer. Is there anything in particular you can point out in terms of what you're seeing? Is it mostly a response to moderating food inflation? I mean, do you seen any greater willingness maybe to undertake some pantry restocking here that we haven't seen it in quite some time? Just your thoughts on that.
Richard K. Smucker: This is Richard. We've seen -- again, we're just looking at the numbers, and we're seeing a slight uptick and some takeaway. We've seen trips to the stores go down, but actually, volume of people shopping higher, which those kind of offset each other to a little bit. But it's just small incremental moves. But again, in our categories, we've seen a little bit better than that because of the types of categories that we're in. But I will caution you that until we get some of these things solved on a fiscal basis on a national level, whether it's a fiscal cliff or just getting our act together in Washington, there'll be a cautious consumer out there. And we're taking that into consideration when we look at our numbers and doing our forecasting.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: Okay, great. And then just a follow-up on the M&A front. Wondering if you can provide any insights into your work with Seamild and the potential, maybe, from additional M&A internationally in China or even maybe expanding more into the Natural Foods segment here in the U.S.?
Paul Smucker Wagstaff: John, the Seamild relationship, as you know, is relatively new, but we couldn't be more pleased with the progress there. The more we learn about that company, the more unique we think they are. They are brand focused. During this quarter, Seamild opened a new production facility just south of Beijing. A large part of our investment in Seamild went to capitalize that facility, and it will give them the capacity to better serve northern China. And so we're very excited about being closer to them, learning more from them. Would we love to have another bolt-on in China? Yes, but it's, as you know, a complicated and difficult environment to identify those, and the team's working hard to do that. So if that happens, it'll be -- it'll have to be the right business.
Richard K. Smucker: Yes. And you might comment on the Natural Foods, in terms of some opportunities, I think, in Natural that -- as we continue to look at that market.
Steven T. Oakland: Absolutely. As you know, our Natural Foods segment is very strong in United States. And the Chinese consumer, with all of the foods scare and all the concern about their food supply chain, the Natural Foods segment of China is growing very quickly, and we think there's an opportunity for us to enter that from an import basis.
Operator: Ed Aaron of RBC Capital Markets has our next question.
Edward Aaron - RBC Capital Markets, LLC, Research Division: I think you said in your prepared remarks that marketing spending was up 20% in Coffee year-to-date. Did I hear that correctly? And then if so, I think it would kind of imply very little, if any, growth in marketing for the Consumer segment. And I think a couple quarters ago, you had mentioned that your spending plans would be fairly well balanced between the 2. So I'm just trying to understand if maybe the shift in Consumer segment from spending kind of to above-the-line promotions has been maybe that much more significant, or if I'm kind of misunderstanding something on the -- on how the marketing line works this year?
Mark R. Belgya: Ed, this is Mark Belgya. You're right in your take in terms of the market, that we did take up our margin increase significantly in Coffee and then not much or down on the Consumer Foods side. But as we've said, we have moved some of that into trade spend to get the pricing right in that. But I don't know if it's significantly different. I mean, we have had the opportunity to spend behind on our Coffee business and marketing. That'll probably be a little more evenly split throughout the rest of the back half of the year between the 2 respective segments.
Edward Aaron - RBC Capital Markets, LLC, Research Division: Okay. And then just my other question, following up on peanut butter. You mentioned likely having to take some price down at some point, which makes sense. Do you anticipate being able to hold off on that until your cost position improves? Because it sounds like you might be kind of farther out on the cost curve than your competitors may be. So I'm wondering if there might be a bit of a timing mismatch that could pressure gross margins at some point in the future.
Paul Smucker Wagstaff: Ed, Paul here. And first off, we aren't going to give the timing exactly when we'd be looking at a price decline, so we recognize that, and we are a little bit further out on peanut butter. And again, keep in mind that the reason we go longer at times on peanut butter is to ensure that we get enough peanuts and high-quality peanuts for our needs, and we were able to do that. So there may be a little gap in there as far as the exact timing on the pricing of our high-cost peanuts versus some of the lower-cost peanuts. But we feel pretty good overall about how that's going to work out.
Operator: Our final question will come from Andrew Lazar of Barclays.
Andrew Lazar - Barclays Capital, Research Division: Richard, one quick follow-up on your -- some of your commentary around the M&A environment with some assets may be looking to shake loose from some of the larger branded players. Just so I'm clear, what do you think is driving that change in thinking by some of the larger branded players relative to their lack of interest, perhaps, in doing that over the last couple of years?
Richard K. Smucker: Well, I think on the big international companies, they're looking country by country. And they're probably looking, and we've seen this, they're looking at what's a global brand and what's not a global brand. And if it's -- if they're not global brand we've seen some of them say, "Hey, I think we ought to maybe get it out of our portfolio." And they're also looking -- what we've seen is region by region. And up until recently, when the developed countries were growing so fast, they were maybe looking at spending money there and taking some of the assets out of some of the mature markets. And those are things that we -- for us, since we are in the mature markets of North America, we look at those opportunities when they become available. But that's kind of the strategy we've seen play out in the last couple of years.
Andrew Lazar - Barclays Capital, Research Division: Okay. And then I guess last would be, there are some companies in this space that even in this environment are pretty insistent that they will use pricing up and down to offset kind of input cost moves, and that frees up productivity to either reinvest behind the business or come back to shareholders. And there are many others that have said, "In this environment, that's just not realistic." And they've had to use, really, more of a combinational of levers, whether it be not just pricing, but productivity and such to do that. I'm trying to get a sense of, at the corporate level, how you guys think about that. And does it sort of vacillate between one or the other? Or are you also insistent on pricing has got to cover your costs and then productivity can kind of fund the rest?
Paul Smucker Wagstaff: Well, we've always looked -- I'll let Vince add to this. But we've always looked at all of those opportunities. We've -- as you know, we've made huge investments in our plants in recent years. And if you -- I don't have the number off the top of my -- tip of my tongue, but we've closed a number of facilities in the last 10 years, probably 8 or so, and consolidated those and made major investments in plants, so that we can improve our productivity. And I think we -- our teams have done a great job of doing that. That being said, though, is that we've really taken a hard look at pricing as we've said several times in the call today. So we are going to continue to push all those levers, because we really can't rely upon any one. We have to make sure that they're all working all those levers in the right direction, really, to hit the good bottom line and get good growth. We sometimes will sacrifice margins to get some growth numbers or to get market share. But we try to balance that, and we try to have each brand and each category carry its own weight. So we really don't like to have one losing money just to drive the top line. So I don't know, Vince, you're on that day to day.
Vincent C. Byrd: Yes. No, but I think it was well said. I think first of all, we try to take a long-term view towards investing in our brands. We do make some short-term actions from time to time on a brand or a category if we feel that we need to be more competitive. We do ask each brand to try to stand on its own as we do our planning and go through the year. If there is one significant change we've made on the fiscal year of looking at how we apply our pricing, it's those that we articulated earlier as it relates to getting a little -- sharpening those price points and being more effective with our depth and frequency of our promotional spending, and I think that's all paid dividends. But again, we try to take a long-term view, and we'll pull all the levers that are available to us in order to grow the businesses. If we find ourself in a favorable position on -- for a quarter or 2 relative to an input cost, like in Coffee, we'll invest that money back. And I think that's played out in our 20% increase in marketing this year to-date.
Andrew Lazar - Barclays Capital, Research Division: Okay. I know that, Richard, you had said earlier in the year, I think in February, you didn't anticipate there being kind of a race to the bottom, if you will, right from an industry perspective around promotional spending and such. And I'm curious if that's – I assume that's still very much where you're -- what you're thinking about. I just -- in hearing some of the commentary, I guess, on the call and sort of the way the stock has kind of behaved, at least this morning, on some of the commentary, it certainly seems like there's more concern out there, right, as of kind of the comments today around price and promotion. And that may not be what you're really trying to communicate. Maybe just as -- I don't know, just a final statement. Just hearing you out on that and making sure we're really clear on kind of how you see that.
Richard K. Smucker: Yes, that is fair. I mean, if you look at our pricing and our margins, they're -- as they go up through the year, are improving. So we do not see any type of race to the bottom. And we're – again, we're upping our year-end forecast because we are seeing, in our case, more volume and better pricing. So I'm not sure where that billing is out there in the street, because certainly, that's not the case for our business. And I'll let Mark – Mark has a comment on this too.
Mark R. Belgya: Andrew, one last thing and it didn't come out maybe as early. But from a sort of first half versus second half, I mean, I think you need to understand that we're clearly recognizing lower costs, particularly green coffee costs in the back half of the year. So you are going to see margin improvement. And shift that position, from a costing perspective, that is allowing the flexibility necessary to address pricing and still drive top and bottom line growth. So hopefully, that encompasses our view and addresses maybe some of the concerns that some of you may have out there, but still very -- we are doing all the right things and look forward to the -- to a very successful 2013.
Richard K. Smucker: Yes. We're feeling pretty optimistic, so -- in spite of what's happening maybe in the marketplace in terms of what's happening in Washington. But we're optimistic about our business. And I want to thank everyone for the call today and wish you and your families a wonderful holiday season.
Operator: Ladies and gentlemen, if you wish to access the rebroadcast after this live call, you may do so by dialing 1 (888) 203-1112 or 1 (719) 457-0820 with the passcode of 9289404. This concludes our conference call for today. Thank you all for participating, and have a nice day. All parties may now disconnect.